Operator: Good afternoon, and welcome to the SDI Group plc investor presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. And I'd now like to hand you over to Stephen Brown, CEO. Good afternoon, sir.
Stephen Brown: Hello, and a warm welcome to today's half year results ending 31st of October 2025. I am Stephen Brown, CEO of SDI Group, and joining me is CFO, Ami Sharma. In terms of the agenda for today reviewing half year '26, I will provide an overview of the group and our dual-pronged strategy to drive growth. This will be followed by an operational review for the period. I'll then hand over to Ami, who will cover the financial results. Ami will then pass back to me for a wrap-up with a summary, and I will then run through the outlook going forward. We will, of course, leave time for Q&A at the end of the presentation. First, let me reintroduce you to the SDI Group and our business model. We are a buy-and-build group with currently 17 established businesses and roughly 500 employees operating from 19 locations worldwide. We maintain a lean and supportive group structure, operating at a centralized model that fosters growth, autonomy, independence and agility. Our focus is on high-growth scientific niche markets, and we have a proven strategy of combining organic growth with earnings-enhancing acquisitions, having made 20 since 2014. In FY '25, we achieved a total group revenue exceeding GBP 66 million and our current guidance for FY '26 showing growth to around GBP 75 million. With our operations being geographically diverse, we estimate that we export approximately 70% of our products internationally with 40% from direct sales and a further 30% of U.K. distributor sales ultimately shipped overseas. Importantly, our buy-and-build model relies on a compounding cycle of growth. Turning to Slide 6. And for those of you less familiar with SDI and what we do, I'd like to briefly explain our business model. The key takeaway from this slide is that the group is a sustainable and robust platform with a clear strategy to drive growth. We can simply define the strategy in 2 parts: organic growth and inorganic growth. Looking at organic growth, this is driven by our ability to build and sustain revenues and profitability across our strong portfolio of existing businesses. Inorganic growth is our ability to identify and execute accretive acquisitions that add value to the portfolio. We will also offer synergies and cross-selling opportunities for the existing portfolio of businesses. Cash flow generated from organic activities feeds our capital allocation strategy and drives inorganic growth where we seek to acquire complementary, profitable businesses in niche markets. This feeds back to create a compounding effect. Now to provide a bit more detail on what we delivered during the half year. This year has been focused on continuing momentum from last year, and we delivered excellent progress against our strategy and continue to see our plans come to fruition. This financial year, we expanded SDI's management team, increasing our capacity for organic growth and effective portfolio management with 2 divisional managing directors. This strength increases our ability to facilitate knowledge sharing and synergies across the group, supporting portfolio leadership teams to ultimately deliver. Strategic acquisitions have continued to contribute strongly to our financial performance this half year and the successful acquisition of Severn Thermal Solutions. In short, our business model has demonstrated its resilience against a highly visible backdrop of challenging and uncertain global conditions. And finally, we are delighted that we have restructured our debt financing with a renewed debt finance facility with HSBC, which is committed for the next 3 years. This will support our future inorganic growth. Now to go into a bit more detail on some of our key group organic growth activities. This year, throughout the group, we are focusing on operational excellence, leveraging the sum of our parts. We have invested across the group in new ERP systems at Fraser, LTE and Peak with the learnings expanded across the rest of the group, and we continue to invest in R&D, enabling new product launches and have benefited from revenues being generated from new product commercialization from last year. The drive to foster synergies from market access across the businesses has continued with numerous collaboration initiatives. For example, we repeated lab innovations for the second time, bringing 5 companies together to promote a unified product offering. Fraser and InspecVision are working together for expansion into the EV automotive sector as well as targeted geographic access. And we have exploited several internal customer initiatives such as ATC supplying Severn Thermal. We have improved knowledge sharing across the group also. For example, the group marketing function established last year has supported many portfolio companies with the launch of new websites across 6 businesses and rebranding initiatives, perhaps more prominent at Monmouth, Atik Cameras and Collins Walker. Now looking at each of our operating divisions in turn. I am pleased to report that we've seen revenues in Lab Equipment increase 12% to over GBP 12 million. This is reflecting improving conditions in the life sciences and biomedical markets. Also, the organic initiatives we drove last year are having impact, particularly with Monmouth Scientific, allowing second half momentum from last year to follow into this year. Safelab had an exceptional performance through contract momentum. This was cemented by them receiving a substantial GBP 1.3 million government contract for the delivery of high-performance fume cabinets to be delivered at the end of this financial year. There have been further significant contract wins across the division, including Severn Thermal, who has 2 furnaces in production for a key nuclear contract with a value of over GBP 300,000. And increased order intake by LTE for environmental rooms as well as the new Labclave-L product. There have been numerous new initiatives across the division, including, as I mentioned, LTE's new range of autoclaves for a focus on sustainability, smart performance and safety and Monmouth's drive for improving product mix through growing their clean room revenues and capability. Again, we developed revenue growth with the Sensors division growing 6% to GBP 9 million and posting solid margins. We saw solid performance from Sentek with increased demand from both new and existing customers for products and bespoke solutions. Encouragingly, they have strong capability and tenacity for market expansion. In addition to last year's strong order intake, in January, they expect to receive an annual recurring order of GBP 2 million for blood gas sensors from one of their key OEM customers and can boost a further life science giant awarding them recurring contracts on the back of a new relationship. Astles had a strong recovery in demand for the chemical dosing systems and are executing a strong order book this year. Chell continues to perform well with an excellent order intake in H1 for execution in the second half with solid demand for core products. In addition to this, they have received a notable order for the supply of 2 gas meter calibration machines valued at around GBP 1 million, again, for delivery in H2. Again, we see solid performance this time across the Products division with revenues up 12% to GBP 13 million. I'm pleased to see Atik Cameras continue to perform well, executing on its market expansion strategy. They're adding to the life sciences revenues by growing into the buoyant professional astronomy market. This has been evidenced by a significant project valued at $4 million that commenced delivery earlier this year with further delivery expected across the second half. They look forward to further traction in this market. Applied Thermal Control has been facing market headwinds in the first half relating to regulatory use of refrigerants, predominantly in the U.S. However, in response, ATC released earlier this year updated G and H series products to meet the changing market requirements, and they continue to develop the range. We also had a number of new products launched across the division, in addition to ATCs these include Atik who launched a new xGbE 60 camera for multi-camera installations. Moving on to our inorganic strategic development. This year, we have completed one excellent acquisition so far, in line with our key criteria. I am pleased to welcome Severn Thermal Solutions to the SDI Group. Completed in June, Severn will be kept autonomous as part of a decentralized model. They manufacture and sell high-temperature furnace systems and environmental chambers for advanced material processing and testing. They are focused on innovative high-value markets such as aerospace, semiconductors and nuclear. Since joining the group, the integration of Severn has already exceeded our expectations with the team showing a strong alignment to the group and rapidly fostering the collaborative spirit we have across the portfolio. Now over to Ami for a financial overview.
Amitabh Sharma: Thank you, Stephen. Hello, everyone. Looking at the financial highlights for the period, I'm pleased to report that we've had a good first half with 10% total revenue growth, which was made up of 3% organic growth and around 7% acquisition growth. The stronger sales performance led to a good profit performance compared to the equivalent period last year. Net operating margins improved from 12.6% to 13.5%. We saw growth in adjusted PBT and adjusted diluted EPS as well as all the income statement measures. Net debt increased primarily due to the acquisition of Severn Thermal in the period. Turning to the income statement. We saw organic growth of 3% in the first half, as I previously mentioned. This followed on from 2% organic growth over the second half of the last financial year. We expect to see this improving trend continue over the second half of FY '26 due to some of the contract wins Stephen outlined. The GBP 2.1 million acquisition growth came from InspecVision, Collins Walker and Severn Thermal. I'm pleased to report that our gross profit margin increased by around 100 basis points to 66.3%. This is on materials only. We have grown our gross margins over recent times through a focus on pricing, and this focus continues. On a like-for-like basis, our cost base increased by over 4% due to inflation, national insurance increases, bonus provisions and a strengthened central team. Lower interest rates and net finance charges were only marginally up on last year despite the higher level of borrowing in the first half compared to last year. The tax rate on the statutory profit before tax is estimated at 26.8%, whilst the tax rate on adjusted PBT is estimated at 23% for the first half, which is similar to the FY '25 tax rate. Looking at below-the-line expenditure, share-based payments were around GBP 100,000 lower than a year ago due to the FY '23 LTIP was lapsing in the period. We also had lower acquisition costs due to abortive acquisitions last year. The next 3 slides provide a bit more detail on the financial performance of the 3 segments. We start with the Laboratory Equipment division. This division showed organic growth of 5.9% with a further GBP 700,000 of revenues as a result of the acquisition of Severn Thermal. Monmouth had a very strong first half, as Stephen mentioned. LTE Scientific and Safelab systems both saw some growth, but Synoptics saw a slower market. Net operating margins improved to 11.7% as a result of the addition of Severn Thermal. Next, the Sensors division. This division showed organic growth of 5.6%. Astles grew strongly as did Sentek, the latter seeing strong demand for its pH sensors. Chell Instruments also grew, but NPV had a slower period of trading as it had tougher comparatives. Margin is largely held in this division at 21.7%. Next, the Products division. This division had GBP 1.4 million of revenues from the InspecVision and Collins Walker acquisitions. Beyond this, organically, the division was largely flat in the period with a small decline of 1.2%. Atik saw a strong revenue growth as it executed a $4 million professional astronomy order. However, Scientific Vacuum Systems saw a slower period of trading as it worked on large program over the first half compared with two in the comparative period. Fraser improved their cost control and increased their margins in a flat market. This led to margins improving to 21.6%, up from 19.8% in the comparative period. Turning to cash. Cash generated from operations reduced from GBP 4.7 million a year ago to GBP 4.2 million. This was due to an increase in inventories of GBP 1.2 million. A number of our businesses built up inventories in anticipation of a strong second half. The largest increases came at Atik as they deliver their professional astronomy contract and at Safelab Systems as they prepare for the large government contract they are to execute in the second half. Other businesses saw smaller increases, Monmouth through increased level of trading and Severn Thermal as it executes its furnace contract for the nuclear industry. Customer advances of GBP 2.9 million were broadly flat compared to April 2025 on a like-for-like basis. CapEx grew due to capitalized R&D spend, most significant at Synoptics and Fraser. Excluding acquisitions, our working capital as a percentage of sales, therefore, increased to 21%. The acquisition of Severn Thermal cost GBP 4.8 million, which was funded through additional borrowings. This is more clearly illustrated in the next slide. This slide shows graphically the movements in net debt. The GBP 4.2 million of cash generated by operations is on the left-hand side of the graph, and our utilization of that cash is illustrated on the right-hand side. We ended the period with GBP 18 million of debt, excluding leases, compared to GBP 13.8 million at the beginning of the financial year. Our leverage at the end of the half was circa 1.3x net debt to EBITDA, which is within the Board's preferred range of 1x to 1.5x. At the period end, we had a headroom of GBP 5.5 million. And as Stephen mentioned, we renegotiated our bank facility over the autumn with some improved terms. This was signed last week and provides committed funding for another 3 years with a further 2 option years available. The accordion option has been increased from GBP 5 million to GBP 15 million, which will give us additional flexibility in the future as we grow. And now I'd like to hand back to Stephen, who will take you through the outlook.
Stephen Brown: Thank you, Ami. Now looking ahead to the rest of the year. For the future, our strategy remains consistent. We will continue to drive organic growth by investing in new product development, promoting synergies and driving operational excellence across the portfolio whilst also pursuing high-quality acquisitions. We remain mindful of wider economic uncertainties, but are confident in a resilient business model and long-term opportunities and drivers in our markets. Inorganically, our acquisition pipeline remains robust and actively managed, and we continuously maintain and review the pipeline. Our focus inorganically is to execute on the significant contracts we have. As expected, we remain second half biased, but we remain positive in delivering FY '26 results in line with market guidance, and are confident in our ability to generate sustainable, long-term value for all of our stakeholders. SDI remains a dynamic business, and we very much look forward to communicating further as we continue to deliver to our model. Thank you for listening.
Operator: [Operator Instructions] If I may just I'd like to remind you that recording of this presentation along with a copy of the slides and the published Q&A can be accessed via investor dashboard. As you can see, we have received a number of questions throughout today's presentation. Stephen, can I please ask you to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
Amitabh Sharma: Right. Okay. I'll take it here.
Stephen Brown: Thank you.
Amitabh Sharma: First question, what's your biggest challenge? Stephen, do you want to answer that?
Stephen Brown: Yes, certainly, I think by far, the biggest challenge won't surprise anybody to hear this, but it's geopolitical. It's the uncertainty. We don't really understand what's going to happen tomorrow, let alone next week. So I think that's definitely the biggest challenge and really how we navigate that. However, we do feel as if our business model is robust enough to feel most of this. We are able to pivot between markets, not only geographic markets, but also physical markets as well. But yes, absolutely, geopolitical, 100%.
Amitabh Sharma: Next question, why are directors not buying shares? I'll take that one. Last couple of years, we've both taken our bonuses of shares. Those will vest over the next 2 to 3 years. So what you ought to see is our -- both of our shareholdings increasing over the next couple of years.
Stephen Brown: And this is available at the end of the back of the presentation as well, you'll see our shareholding increase and the option holding increasing.
Amitabh Sharma: Next question. Can you tell us more about the recently appointed divisional directors and what their roles are?
Stephen Brown: Yes, absolutely. So we recently appointed 2 divisional directors. One has got responsibility of the Products division. The other one's got responsibility of the Lab division. And the reason for doing this is so that the businesses we've got in the portfolio have gotten much closer attention. As we scale, we're currently 17 businesses. And quite frankly, the bandwidth that we had before was not adequate to give the businesses enough attention and to really support the leadership teams to deliver. But really, with bringing the structure in place with two of the regional MDs, that means we've got roughly 6 businesses to each director, which that intensive focus and is really starting to come and pay dividends. You can see it in our financial results. You'll see it more come in the second half as well. So we're seeing the businesses, which were slightly lower last year, really starting to come to fruition despite the challenging markets. So it also gives us as we continue to grow and scale as more businesses come into the group, we are an acquisitive group. So that will continue. We really need to have that structure to allow us to develop and scale. For us, organic growth is really important, and that's something that we will always have that focus on. So that's the main role for those divisional directors. Of course, as well, they do fit into the inorganic piece as well in the due diligence and making sure that we do make the right acquisitions. So that's the secondary to their main role.
Amitabh Sharma: Okay. What impacts have you seen from the recent budget changes? Okay. I'll take that one. The main one was the rise in the minimum wage. Quantify that, that's about GBP 80,000 per annum, GBP 80,000 per annum. So it's not massive, but it was still an impact nonetheless. That was the main thing that I saw from the budget. Next one. Please, can you provide an update on the M&A pipeline and potential timings? Stephen, do you want to take that one?
Stephen Brown: Yes, absolutely. So the pipeline remains very strong. We are an acquisitive business, as I said. That will never change, and that will never stop. We've done one successful acquisition so far this year. Hopefully, there will be more. Obviously, I can't communicate too much more than that. But other than that, we are an acquisitive business, and we will continue.
Amitabh Sharma: Okay. The next one is for me. What is your CapEx guidance for FY '26 and beyond? Fair to assume 2.5% to 3% of sales? Yes, that's about right. That's kind of -- it's between 2% and 3%, but yes, 2.5% to 3% is right for FY '26. Next question, can you comment on the typical size EBITDA multiples and target characteristics that you're prioritizing for future potential M&A?
Stephen Brown: Yes. I can take that. So our multiples pretty much remain the same. We've always said that on EBIT, you look at EBIT rather than EBITDA, we're looking at roughly 4 to 6x. We're currently focusing towards the lower end of that rather than the higher end. We are seeing that market dynamics means that we can potentially look towards that at the moment. So we're seeing opportunity at this point. So key characteristics, we're looking for profitable businesses. We're looking for higher net margins is also important to us. We're looking for niche markets and/or regulatory-driven markets. We're looking at those tailwinds-driven businesses. We're also looking for strong order books. We're looking for resilient markets. We're looking for large significant exporters as well, which is also very important to us. We're not locked to the U.K. either. So we are looking at on a global perspective. The EU is particularly of interest to us and so too is the U.S., but more so the EU. And also, we're looking at businesses which will increase our recurring revenue as well, which is also quite important to us as we continue to grow and scale.
Amitabh Sharma: And in terms of typical size of about GBP 1 million EBIT and above if you can?
Stephen Brown: Yes, GBP 1 million and above is typically sweet spot that we're looking at, at the moment. What we're really looking for is accretive acquisitions. So we're looking at acquisitions, which are really going to add value and add to our scaling.
Amitabh Sharma: You previously said that the long-term organic growth target for SDI is between 5% and 8%. Is this still valid in the midterm? Do you expect improved organic sales growth trend already in H2 '26 versus H1 '26?
Stephen Brown: We'll, split, I'll take the first bit. So are we looking at 5% to 8% as a medium to long-term goal? Absolutely, yes. And you'll see that going forward. So I think that's still a realistic target for us. As I said before and said in the presentation, organic growth is important to us and it will always be a focus. Hence, the earlier question about the divisional directors, for example. So we are focusing on it. Do you want to take the second piece?
Amitabh Sharma: Yes. I mean we are going to see strong organic growth in the second half. And the reason for that is because of the contract timings, as we talked about earlier. That will drive the organic growth, which will be quite significant in the second half. But then that is a function of the contracts and how they fall timing-wise within FY '26. So you'll still see strong organic growth. Over the full year, you should see organic growth, too. And so I think that one answers that question. Why is the profitability of the Lab Equipment business unit so much lower versus the other business units? Is this driven by temporarily softer market demand? Do you want to try?
Stephen Brown: Yes, certainly. So I'll take the last part of the question first. Is it softer market demand? No, it's not. The market demand is definitely there. You can see with large contract wins I spoke to earlier. There has been others in the Monmouth business as well, which has been quite helpful to us. The lower margins is purely market dynamics. There is serious competition in the market, and that ultimately keeps the profitability a little bit lower. But we are holding our own. We're actually growing market share within those markets, and it is looking quite strong for us. It has come back quite strongly this year, and it continues to increase. But are we going to see large profitability coming in other than where we are? We can probably improve on it a little with operational excellence, for example, and with Severn Thermal going into the Lab Equipment division as well will help the profitability also. But it's really down to the dynamics of the market.
Amitabh Sharma: Okay. Next one, I think, is me. Expenditure in development and other intangibles increased compared to the same period last year. Can you share the reasons behind the higher level of intangible investments? Well, we had a couple of product developments that are in progress. Expenditure on development increased, but certain amortization actually. And what I would -- the way I would look at this one is that you compare how much has been capitalized versus how much has been amortized. And the delta is GBP 0.2 million in the first half, GBP 0.2 million, and that compares to GBP 0.1 million last year. So there isn't -- these are not big numbers on a net basis. So the delta is GBP 0.1 million in the context of almost GBP 5 million EBIT -- GBP 4.5 million to GBP 5 million EBIT. So yes, it has, but it's not hugely significant on a net basis. Next question. The interest cost on net finance, I think, is still high despite the limited leverage, diversified group and strong execution. Does the renewed RCF with HSBC allow for some lower cost of debt? How much? The simple answer to your question is, yes, our new facility is cheap, is lower in terms of cost than the previous one by a fair bit. So we have improved terms. I won't say exactly how much, but it is going to be improved. I was saying that we do have -- I wouldn't say we've got limited leverage because we're at 1.3x, however -- and we managed to maintain the finance costs at a similar level to last year and the average borrowings in the first half were a fair bit higher than the average borrowings in the first half of last year. But the answer to your question is, yes, there are improved terms and you ought to be able to see that in the financing charges as we go forward. Could you please comment on your midterm organic growth ambition? Do you still see 5% to 8% as the right range? And within your 3 reported segments, which do you believe offers the strongest long-term organic growth potential?
Stephen Brown: I think the first part of the question has been answered to the earlier question. But the second part, good question. It definitely will be the product side because we've got more -- we've got most of our high-growth businesses within that segment. So we will always see that higher level of organic growth there, absolutely for sure.
Amitabh Sharma: Okay. Next one, it's a working capital question, that's me. Working capital levels last couple of years averaged at circa 13% of sales, which is much lower versus the level in recent years. Do you expect working capital as a percentage of sales to drop back from circa 19% of sales towards 15% out? So there was a buildup of working capital in the first half. I sort of explained it during the presentation, which is due to an inventory buildup for the second half. I think you're looking at the reference of 13% are a full year percentage, I think. You ought to see it come back down again. As we execute these contracts in the second half, the inventories will start coming back down again. And I think you'll see working capital as a percentage of sales under our own internal definition will come back down from around the 21% mark, which it currently is to near 19%, 20%, which is where it was under our definition. I'm not sure how -- I think it's Emmanuel, how you calculated that 13%, which balance sheet lines you've used. But it ought to come back down, and it's due to execution of those contracts, which will reduce inventories. Next question, how much capital do you target to spend per annum on M&A, between GBP 5 million and GBP 10 million? Is the pipeline strong enough to execute on this? I'll answer the first part. Stephen, join to answer the second part. So the first part is that we typically focus our free cash flow towards M&A. Historically, it's been around circa GBP 6 million. And we could move that a bit with our leverage because we typically say between 1x and 1.5x. We can spend more than about GBP 6 million or GBP 7 million, if we move the leverage up a bit towards 1.5 and 1.6 and it's quite -- and we may choose to do that in the future just to -- it will be a timing thing, and we can vary that. It's a management decision. So anywhere from GBP 6 million, it could be GBP 7 million or GBP 8 million, it could be more than that, but the leverage would reflect that in the short term, and then that will start coming down again. Is the pipeline strong enough?
Stephen Brown: 100%, yes. So the pipeline is looking as strong as ever. We could execute a lot more than that if we really wanted to. But absolutely, yes, the pipeline is reassuringly very strong and gives us the opportunity of choice as well, which is very valuable to us.
Amitabh Sharma: Do you see room to further improve group margins? How? Interesting question.
Stephen Brown: 100%, yes. And the focus we've currently got on organic will ultimately result in that. With the introduction of the divisional directors who've got a wealth of experience, both operational as well as commercial coming in, we will continue to really focus on the businesses. So what's going to drive that? What's going to drive that is increase in commercial activity, increase in sales. Organic growth will ultimately drive that. But we've also got a real drive as well for operational excellence as well. So we're looking at good business management. Cost optimization is also very important to us. So we will continue to drive the efficiency of the businesses, which will ultimately improve that.
Amitabh Sharma: Operating leverage will also contribute. So in other words, higher sales will drop through with the gross margin. And the M&A also, we are targeting higher net margin businesses that we talked about earlier. Those will also have a positive impact and the mix on the...
Stephen Brown: Exactly. The inorganic will shift the dial quite considerably actually because of the focus of the businesses we're currently looking at.
Amitabh Sharma: Is there a minimum size of acquisition in terms of the target turnover or profit that you will look at?
Stephen Brown: What we look for typically is accretive acquisitions and acquisitions that really move the dial. So for us to go much below GBP 1 million EBIT, it isn't really going to have that impact. Of course, if there's a really interesting business with significant growth potential and a market which we really see the potential in, of course, never say never. But ideally for us to make the impact at this point, that we're currently looking at sort of a minimum of GBP 800,000 to GBP 1 million, ideally more.
Amitabh Sharma: Can you comment on the growth in central costs over the last 2 years? Yes, I'll answer that one. This one is due to some of the additional headcount at head office to drive inorganic and organic growth, which we've talked about. We have a Head of M&A to help us drive the M&A cycle, and we've introduced divisional directors to help us drive organic. And so the combination of all of those things have contributed to the increase in central costs. But we needed to drive growth for the reasons that Stephen outlined earlier in terms of management bandwidth and to grow to the level to help us scale as well. So that's the reason we've done that.
Stephen Brown: The SDI Group will always be a lean and agile business. So any increase on head office costs...
Operator: [Operator Instructions]
Amitabh Sharma: Hopefully, we're back.
Operator: I can hear you now.
Amitabh Sharma: We'll go back to the Q&A. How do you manage capital allocation between your existing businesses? What is your target R&D spend? Does this need to increase to generate organic growth? In terms of capital allocation, we don't -- we do it on a business-by-business basis. Most businesses will put forward their budgets and strategic plans every year at which they will request additional capital to do CapEx or, whatever, the R&D, and we will generally approve it. We will look at each one on an individual cases. We will not say no just because we want to restrict that capital to any particular business. We said this before -- I said this before in this very presentation. We don't restrict capital to any of our businesses. They're just going to put a business case forward. And we are very supportive of our investments. That's why that's one of the great things about being part of the SDI Group, I think, for companies coming in is that ability for us to invest more than perhaps previous management did as in the lead up to sale.
Stephen Brown: And looking at the R&D spend as well, R&D spend is very important to us because what's the secret of organic growth is really keeping on top of the market and understand the market requirements. As the markets require more, we have to deliver and essentially execute products and put away our products into those markets what the markets ultimately need and want. That will need a regeneration of the products and a revitalization of the product as well, which ultimately feeds into R&D spend. So that's something which we will always be doing. We do encourage the portfolio of businesses to keep on top of that. And in fact, if we're not getting requests for R&D spend, we're asking the question why. So that's a real significant focus for us, and it is ultimately the secret of organic growth.
Amitabh Sharma: Last one for now. Could you sell a company to raise to acquire? I think would you dispose of something probable or improbable? I think meaning any subsidiaries, I think, is his question. I suppose the answer is nothing is impossible, right?
Stephen Brown: No.
Amitabh Sharma: We do get inbounds for our assets. And if someone is a better owner of one of our assets, then we would absolutely consider doing so. I mean it's not really what our business model is, but never say never.
Stephen Brown: If it makes sense, we will consider it.
Amitabh Sharma: If it makes sense, we will consider. Sometimes portfolio churn is necessary. It does happen from time to time. So if it happens, we will -- or if we have a decent enough, we'll go for it.
Operator: That's great. Thank you for answering all those questions you can from investors. And of course, the company can review all questions submitted today, and will publish those responses on the Investor Meet Company platform. Just before redirecting investors to provide you with their feedback, which is particularly important to the company, Stephen, could I please just ask you for a few closing comments?
Stephen Brown: Of course. I'd like to thank you all for listening. It's very much appreciated, and we very much look forward to communicating with you further.
Operator: That's great. Thank you for updating investors today. Could I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of SDI Group plc, we'd like to thank you for attending today's presentation, and good afternoon.